Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss PFSweb's financial results for the third quarter ended September 30, 2015. Joining us today are PFSweb's CEO, Mr. Mike Willoughby; and the company's CFO, Mr. Tom Madden. Following their remarks, we'll open your call for questions. Before we go further, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call, other than historical facts, are forward-looking statements. The words anticipate, believe, estimate, expect, intend, will, guidance, confidence, target, project and other similar expressions typically are used to identify forward-looking statements. These forward-looking statements are not guarantees of future performance and may involve and are subject to risks and uncertainties and other factors that may affect PFSweb's business financial condition and operating results, which include, but are not limited to, the risk factors and other qualifications contained in PFSweb's annual report on Form 10-K, quarterly reports on Form 10-Q and other reports filed by PFSweb with the Securities and Exchange Commission to which your attention is directed. Therefore, actual outcomes and results may differ materially from what is expressed or implied by these forward-looking statements. PFSweb expressly disclaims any intent or obligation to update these forward-looking statements. During the call, we may also present certain non-GAAP financial measures such as the EBITDA, adjusted EBITDA, non-GAAP net income, service fee equivalent revenue, merchant sales and certain ratios that use these measures in our press release with the financial tables issued earlier today, to which your attention is directed on our website at pfsweb.com. You can find our definition of these non-GAAP financial measures, our reconciliation of these non-GAAP financial measures with the closest GAAP measures and the discussion about why we think these non-GAAP measures are relevant. These financial measures are included for the benefit of investors and should be considered in addition to and not instead of GAAP measures. I would like to remind everyone that this call will be available for replay through November 30, 2015, starting at 8.00 p.m. Eastern Time this afternoon. A webcast replay will also be available via the link provided in today's press release as well as available on the company's website at www.pfsweb.com. Any redistribution, retransmission or rebroadcast of this call in any way without the express written consent of PFSweb, Inc. is strictly prohibited. Now I would like to turn the call over to the Chief Executive Officer of PFSweb, Mr. Mike Willoughby. Sir, please go ahead.
Michael Willoughby : Thank you, Don, and good afternoon, everyone. As you saw earlier this afternoon, we issued a press release announcing our results for the third ended September 30, 2015. We continue to benefit from strong growth in our agency and technology services driving record results for the fourth consecutive quarter. Our Omni-Channel Operation also continue to perform exceptionally well supporting the overall strong growth in our BSB decline volumes over the same year ago period. Most notably the third quarter was highlighted by the acquisition of Crossview, which we believe dramatically strengthened our position as a leader among whole service ecommerce providers. The integration across use tracking well and according to plan we've already began to pursue several promising cross sell opportunities but also realizing synergy's across our technology platform. But before commenting further I’d like to turn the call over to Tom, to discuss our financial results. And then following Tom’s comments, I’ll return to discuss some additional highlights, provide a business development overview, discuss the Crossview integration further and open the call for your questions. Tom?
Thomas Madden : Thanks, Mike and good afternoon everyone. As Mike indicated I’ll spend some time providing additional color on the third quarter results reported earlier today as well as our outlook for 2015 and 2016. Before doing so, I'd like to remind everyone especially new comers to the PFSweb [store] that when we provide discussions about our financial results, we often discuss our service fee equivalent revenue performance. This non-GAAP metric is calculated by taking our service fee revenues which is the primary business activity we perform and adding the gross profit on our product revenue business, so that both businesses can be measured on a similar service fee basis. With that as a backdrop let’s quickly review the numbers. Our second quarter service fee equivalent revenue increased to a Q3 record of 46.2 million, an increase of 43% compared to the same quarter last year. The increase was primarily due to continued strong performance in our agency and technology services as well as new and expanded client relationships in our Omni-Channel Operation. This service fee equivalent growth included organic growth from new and a competitive client relationship of roughly 15% plus the benefit of our acquisitions activity. The organic growth was primarily driven by continued growth in both existing and new B2C client. From the existing client standpoint on an overall basis our B2C clients that we supported during both Q3 of 2015 and 2014 generated more than 20% growth in near growth merchandise volume between periods. While that doesn’t necessarily correspond to a similar linear percentage growth on our side it obviously reflects an increased level of transactions on which we earned a higher margin for a higher revenue stream in the current year. In addition we benefitted from service fee revenues earned from new clients such as Anastasia Beverly Hills, Ellen Degeneres, Gaiam and other. As for the growth related to acquisition activity, we completed the [Rev Solution] and [Indiscernible] acquisitions in September of 2014. And we had this off course of benefit in last year's Q3 service fee revenue while having a full quarter in the current year. In addition for the [Indiscernible] Crossview acquisitions completed this year we have a fourth quarter benefit in Q3 from [Indiscernible] though it was a relatively small amount and two months contribution from Crossview since the August of 2015 acquisition base. Our service fee gross margin in the third quarter of 2015 was 33.7% compared to 29.9% last year. This 380 basis point increase was driven by a higher proportion of agency and technology services in the 2015 quarter, including the impact of the acquired businesses. As we’ve discussed, previously, these agency and technology services components generally generate a higher margin than our omni channel operations. The 2015 quarter was also aided by a higher level of project activity in all areas of the business. As a result of our acquisitions of these higher margin agency and technology professional services business, we are now increasing our overall targeted gross margin from the prior range of 25% to 30% to a new range of 27% to 32% for a full year period. We continue to seek to be at the high end of this range, and during our third quarter, we were actually above the high end, in part due to the benefit of incremental project activity. As we have mentioned on prior calls, the nature of our professional services business is that we are generally busiest during the period from March through mid-October as we work to build or enhance our clients e-commerce sites in preparation of the holiday season. Once mid-October rolls around, many of our clients [don't] want to make any further changers to their site so we shift our focus to other client projects that will be launched in the following year. As a result however, the revenue and profitability of these businesses is generally strongest during the late spring, summer, and early fall period and often then decreases during the holiday and winter period. As we look ahead we do expect this to create some variability in our overall gross margin performance on a quarter by quarter basis. We also have variability based on the revenue mix split of lower margin omni-channel operations activity versus a higher margin agency and technology professional services businesses. This is especially a equitable to the upcoming December quarter where we will see a higher proportion of omni channel operation service fees which when combined with the expected decline on a sequential basis in the professional services business activity will likely result in overall gross margin percentage performance for the December quarter toward the low to middle range of that 27% to 32% target. SG&A expenses during the third quarter were 18.5 million compared to 12.8 million in the year ago quarter. Let me provide some additional inside into this increase. First, the SG&A in Q3 of 2015 includes the incremental SG&A levels of our newly acquired entities which accounts for approximately $3 million of the change on a year-over-year basis. In addition, the Q3 2015 amounts includes $2.6 million of acquisition, restructuring and other costs versus $1.5 million in the prior year. Q3 of ’15 also includes the amortization of acquisition related intangibles of approximately $1 million as compared to $0 million in the prior year, and we also had an increase in our stock based compensation cost of approximately $0.7 million on a year-over-year basis. On the amortization of identifiable intangibles, a large portion of this is related to the Crossview acquisition. We are still in the process of completing our opening balance sheet valuations for the Crossview identifiable intangible assets and this is currently expected to be completed in the December quarter. So our ongoing amortization costs are subject to change from the preliminary estimated levels recorded during Q3. With all this taken into account, our adjusted EBITDA in the third quarter increased to the Q3 record $5.4 million, an increase of 90% compared to the prior year quarter. As a percentage of service fee equivalent revenue, adjusted EBITDA increased 300 basis points to11.8% compared to 8.8% in the year ago quarter. In our financial target we often discussed the objective that as we grow we are looking to drive increased leverage in the business and generating improved adjusted EBITDA margin. We are pleased our results for this quarter reflect that improvement. Note however that we expect our annual adjusted EBITDA performance for the full calendar year 2015 to be in the range of 10% to 11% which is also an improvement over the prior year. Now turning to the balance sheet. At September 30, 2015, cash and cash equivalents totaled $13 million compared to $18.1 and at December 31, 2014. Total debt increased to $38.4 million from $10.9 million at the end of 2014. As such, our net cash position was approximately a negative $25.4 million compared to a positive $7.2 million at December 31, 2014. The change is primarily a result of the approximately $35 million of debt incurred in conjunction with our acquisition of Crossview in August of this year. Also if you recall we have stated previously that our cash balance includes the benefit from the timing of certain cash collections received by PFSweb from our client customers that are then later remitted to our clients. This benefit was somewhat lower at the end of the September quarter than at the end of our seasonally high December quarter. In regards to the debt, I’d like to remind investors and analysts that we entered into a new credit agreement with Regions Bank in August of 2015 which replaced our previous senior banking facility. The facility was then expanded to add Bank of America and HSBC as participants. The new credit facility currently provides us with total financing availability of 62.5 million including a $32.5 million revolving loan facility and a $30 million term loan facility. The total facility could be increased further to 75 million if needed. And we believe this agreement really provides us much more flexibility to finance our global working capital needs as well as our acquisition strategy. Now let's review our 2015 and 2016 outlook, starting with 2015, based on our year-to-date results and the current projections for our fourth quarter, we are increasing our service fee equivalent revenue guidance to range between 180 million to 186 million, up from the previous range of 175 million to 185 million. And this new range reflect growth on a year-over-year basis of 30% to 34%. We’re also increasing our adjusted EBITDA guidance to range between 18.5 million to 20.5 million, up from the prior range of 18 million to 20 million and here again reflecting growth of 36% to 50% as compared to 2014. There are few items I’d like to add to provide a little further clarity on this 2015 guidance. First as we’ve discussed previously our largest fee client is the US Mint, which is expected to contribute approximately $20 million of service fee revenue this year. Unlike many of our other B2C client relationships, the US Mint does not generally have a large December quarter spike, but instead the service fees we earn from them are expected to be more evenly allocated throughout the year depending and actually somewhat lower in the fourth quarter depending on the timing of their larger coin drop. We believe this is positive for us as it allows us to better manage the business during our non-holiday season period, but it also impacts the expected quarterly results of our business as we do not anticipate the fourth quarter to spike up on a comparable basis to prior quarters as much as it had in the past. In addition and while this is impacted by the timing of our project work, as I mentioned earlier our professional services business including both technology services and digital agency [surf] activities are generally somewhat stronger in service fee revenue and adjusted EBITDA contribution in the June and September quarter and then lower in the March and December quarter. This is true as well with our recent Crossview acquisition. We also plan to increase our current level of sales and marketing spend in the fourth quarter of this year as well as the 2016 as we plan to capitalize on our newly acquired capabilities and areas for growth. We also plan to incur certain incremental expenses in the December quarter applicable to our preparation for the holiday season. We expect our non-cash stock compensation expense to continue to increase somewhat in the reminder of 2015 as a result of the timing and nature of our various incentive programs. Total stock compensation expense is estimated to range between $4 million to $5 million for calendar year 2015, but is dependent upon our share price activity as well as our financial performance. In addition, amortization of acquisition related identifiable intangibles is expected to increase as we will have a full three months of amortization as oppose to just few months in Q3 applicable to Crossview acquisition. We also need to keep in mind that our fourth quarter activity is highly depended upon the forecasted and actual volumes of holiday activity with our clients, which is more difficult to predict than during the rest of the year. We will continue to work closely with all of our clients in the forecasting and planning of their holiday season to ensure that we are properly able to support their anticipated business volumes. Now let's discuss next year. For 2016, we currently expect continued strong growth in terms fee equivalent revenue and adjusted EBITDA as we realize the full year of benefit from recent acquisitions, as well as incremental revenue from new and expanded client relationships. At this time, we are targeting 2016 service fee equivalent revenue to range between 220 million and 230 million and adjusted EBITDA to range between 23 million and 25 million. This adjusted EBITDA target includes the expected impact of incremental sales and marketing expenditures as well as other infrastructure expenditures to support our future growth strategy. Please note that our 2015 and 2016 guidance does not include the impact of sense of future acquisition. Also we continue to expect our results will be strongest in the latter part of the year as it will incorporate the strong seasonal activity of most of our B2C clients. This concludes my prepared remarks now I turn the call back over to Mike for some further comments on the recently completed quarter as well as an overview of business development highlights and closing comments. Mike?
Michael Willoughby: Thanks Tom. Before elaborating on the cost few integration as well as recently launched strategic commerce consulting practice that we announce this morning I first like to highlight that some of our accomplishments during the record third quarter. We had another strong quarter or new solution launches with seven new ecommerce solutions going live since our last call. Our of these fine engagements were long term recurring revenue deals that include services from at least three of our business segment. These four engagement has been included in our 2015 cumulative bookings number and illustrate the selling and implementation season of this type of operationally oriented deal where engagements frequently go live in Q3 before the holiday season. Two of these recurring revenue engagements with beauty brand Anastasia Beverly Hills and Ricoh sports a performance sports brand. Our Ricoh engagement is particularly not worthy as it involves international order for [Indiscernible] services to 33 country as well as multi-lingual customer care all in support of Ricoh's European direct to consumer ecommerce initiative. This engagement is a testament to the strength of our global operational capability and delivers a strong value proposition through perspective clients as we can help enable them to cost effectively enter new geographic markets. In addition to the new recurring revenue launches we had two new ecommerce site build projects on the demand ware platform that went live in the last few months. The first project was for a luxury watch manufacturer in which we provided the creative and user experience design as well as the development of the site itself, the second was for a western wear brand, where we provided the development of the site. For both of these brands we will continue to stay engaged to provide ongoing managed services as well as needed project work. Beginning with this earnings call we will now be providing client bookings that include activities from our newly acquired subsidiary Crossview. Similar to our previous acquisition the majority of their new business represents short term project based work and will be added into our disclosure of project booking and project revenues each quarter. As I commented as earlier we see many clients launches at this time of year proceeding the critical holiday season. But with that we traditionally experience a slower period of operationally oriented recurring revenue engagement contract signings during the summer and early fall as expected we are beginning to see it up take in early stage lead philosophy as the selling season for Omni-Channel Operations engagements fix backed up heading into the New Year. Since our last call we booked 38 new project expected to be worth approximately 8.5 million in revenue many of these represents incremental technology and agency services work for existing client relationships as we continue to help these client build and maintain best in class shopping experiences. The largest of these new bookings was to build a new ecommerce site for a large or word than full weak manufacturer. We will built this sign on the demand ware platform and go live is currently schedule for the second quarter of 2016. Not surprisingly there were fewer bookings for recurring revenue engagement during the third quarter which is consistent with the selling season I mentioned earlier. Since our last call we booked one new recurring revenue services contracts were $1.5 million over just a one year period this engagement is an expansion of an existing client relationship with a new brand launch under the current master services agreement with this time. On a cumulative basis we've now won 11 new recurring revenue engagements in 2015 worth about 74 million in lifetime contract value. In addition to the one new recurring revenue booking this quarter we have several other recurring revenue engagements currently in the contractual process with anticipated launch dates in the first half of 2016. As we move in through the 2016 selling season I anticipate that our recently initiated focus on B2B engagement should begin to have some impact on this selling season phenomena as B2B services sales cycles should be less effected by the Q4 retail holiday. I look forward to providing update on this B2B initiative on future calls. As a reminder moving forward we will refer to our global portfolio as engagement. Which can be defined as a single ecommerce operation for a single brand with a recurring renew stream from any of our services segments. Using that definition we currently maintain approximately a 150 active client engagement to provide services from our agency, technology or operations business segments. These are separate from the one time project I mentioned earlier on the call that we booked in the quarter. Now moving on to our integration of Crossview. And as a reminder Crossview is an ecommerce system integrator that solidifies our technology service offering with the IBM Websphere commerce and SAP hybrids integration capability and also provides us with a robust B2B front end ecommerce platform. With the ability to develop and support commerce solutions utilizing Demandware, Oracle commerce, Magento, and now WebSphere commerce and hybris we believe we are the only full service commerce provider in the marketplace supporting all five major ecommerce software platforms. Our initial integration of Crossview is proceeding according to plan with an emphasis on rapid consolidation of HR and finance functions into PFSweb corporate services; consolidation of the Crossview sales and partner relations organization under the leadership of the PFSweb sales EVP Travis Hess; coordination of the Crossview marketing function with the PFSweb corporate marketing functions; consolidation of certain Crossview marketing services and strategy consulting services with the PFSweb LiveArea digital agency, and our new PFSweb strategic commerce consulting practice respectively; coordination of product management and R&D activities across the enterprise and rapidly bringing to market a full service B2B offering leveraging the B2B front end ecommerce platform development and support capabilities of Crossview with the robust B2B agency and omni channel operation services previously offered separately by PFSweb. With regard to the coordination of sales and marketing activities targeting revenue synergy, we’ve already had several instances of cross selling success including a new engagement for our PFSweb strategic commerce consulting practice with a Crossview client prospect, as well as several technology services development opportunities for Crossview with PFSweb client prospects. As illustrated by these early cross selling successes I believe we are seeing the anticipated expansion in our total addressable market in the U.S. from the new platform practices provided by our previous acquisition. With regard to the longer term integration of Crossview, we will continue to evaluate opportunities to drive additional synergies while we continue to operate Crossview as a wholly owned subsidiary using the Crossview branding for the foreseeable future. In addition to the expansion in addressable market from the new platforms we also expect to see expansion from new service offerings as we continue to evolve from a full service ecommerce provider into a global commerce service provider that is respectively the complete commerce outfitter for the world’s leading brand. As a platform agnostic global commerce service provider, we are positioned to consult with buyers on organizational readiness, digital opportunity audit and technology platform evaluation and selection project. Our competitors with limited ecommerce platform offering are unable to provide these types of critical consulting engagement because they would obviously be bias towards and limited by the platforms that they’re capable of integrating. This differentiation in part had led to the launch of our strategic commerce consulting practice as announced this morning. Given recent industry trends and the ever growing need for the companies to embrace digital transformation, launching this new practice represented the next logical step in the evolution of our business model. Through our commerce consulting practice we will provide both B2C and B2B client with digital strategy and technology platform consulting with the ultimate goal of helping clients realize their full commerce potential to grow their businesses. This new expansion also builds upon our initiative to target by as much earlier in their commerce journey enabling us to get in the door at the start of the ecommerce sales cycle. Leading this new practice is Dr. Doug Hollinger. Doug brings a wealth of experience in commerce and digital consulting across a range of industries. Most recently he led the national business consulting practice for Razorfish platform. Through Doug’s leadership, we plan to grow this business segment and continue expanding our higher margin professional and agency services offering. During the quarter we also appointed Stephen Smith as our Vice President of Global Logistics. Steve brings over 30 years of experience in leading transportation and distribution organization, specifically within retail, wholesale and B2C business model. Steve will initially focus on leading our logistics organization through the all-important upcoming holiday period but will also be a key contributor to our geographic expansion plan in the next few years as we work to ensure we support our clients growth across the globe. As we head into that all-important holiday season, we will continue to focus on client execution with the ultimate goal of helping our clients maximize their holiday sales performance. Through our strategic acquisitions and continued growth as a premier global commerce service provider we plan to carry our momentum through 2015 and beyond. With regards to our acquisition strategy, going forward, we will continue to remain opportunistic specifically with regards to geographic expansion of our digital agency and technology services platform practices in the Europe and Asia Pacific region. As part of our evolution in to a leading global commerce service provider, I anticipate the development and deployment of a new acquisition road map early next year to support our growth with new capabilities and service offerings around the world. I look forward to having more to say about our new acquisition road map on our future calls. Finally as Tom mentioned, we have ramped our sales and marketing spend in an effort to take advantage of the expansion in our total addressable market with the specific objective of significantly increasing lead velocity and improving our conversion rate across the sales file. Although we have made significant progress in this area over the past eight months since we hired Travis, with several more key hires expected before the end of the year, I expect we will continue to ramp up sales and marketing investments into 2016 in order to target driving sustained growth range in future years on top of our rapidly expanding capabilities. This increase SG&A spending will have the effect of somewhat moderating our bottom-line performance in 2016 and has been factored into the 2016 guidance Tom presented earlier in the call. Now with that high level recap of the exciting developments within our business, Tom and I would like to open the call for question-and-answer session. Dan?
Operator: Thank you, sir. [Operator Instructions] And we’ll take our first question from George Sutton with Craig-Hallum. Please proceed.
George Sutton: Thank you very much and another good results guys. So relative to the pipeline as you see coming up for 2016 you made reference chose of business that you were going into a contract state. I wondered if you can speak more broadly about the opportunity you are seeing in maybe [indiscernible] with the plans to hire several more folks on the degeneration side?
Michael Willoughby: So without getting into I guess specifics of the number of deals that are in the early stage because we’ve wanted to focus pretty much on the bookings to give a more tangible view into what is going on in a given quarter. I would say that there is the expected uptick in lead velocity in those deals that we talked about being in contracting are really just indicative of that selling season kicking back into gear in the sort of late September, October timeframe. So I think it's pretty much the pattern that we expected and the pattern that we’ve historically seen without being able to actually put data against like we are now able to with these bookings figures. As far as the correlation to the increase in sales and marketing spend of the new hires, the new hire is coming on are really fulfilling the organizational structure the status put in place earlier this year. Most of them are focused on platform sales opportunities as we implement a vertical approach to engaging with each platform provider. We fell like this is important for a variety of reasons one is that the partner relationship that we have are very strong and we are wanting to leverage fully the sales channel that each partner has and we will feel like that requires a strong partnership between our sales force on a given platform and that channel partner. We also want to maintain an very effective firewall in place between platform practices so that as major shared as we work together with a platform partner, our platform partner knows that we are focused entirely on them and winning a deal with them within that particular sales effort. And then finally, as we look at each platform and as individual characteristics each platform practice as unique aspects that require sales person particularly kind of major in that platform in order to be effective within the sales cycle. So for those regions you’ll see as we talk more and more about the sales organization, a platform alignment with regard to the technology services area. That said, we are looking to increase the SaaS around the army channel operations area of the business, we expect continue to see additional opportunities in that area particularly with some of our competitors going through this transformation and so we’ll be looking to bring on additional headcount there and focus on those end-to-end opportunities and the e-fulfillment and operations opportunities as well. And then finally with the addition of the strategic commerce consulting practice while we expect those consultants and our practice lead to participate heavily in the sales cycle and generate lead velocity in conjunction with our inside sales group, we would ultimately expect to also have kind of vertical reps that are working within the consultancy that are engaged with vertical markets that we’ve targeted and clients within those verticals. So that’s kind of a long way to answer the question, but we are aggressively building out the organization because we see the expansion in addressable market and really want to capitalize on that early in order to build growth in future years.
George Sutton: I appreciate the details and relative to your B2B volumes, you mentioned that your customers has been seeing the 20% year-over-year results as we look into Q4 we’ve looked into the holiday season the expectation industry wide tend to be in the [teens], I am curious what you are anticipating based on your guidance relative to your customers.
Michael Willoughby: Our expectation is that for our client base we would expect to be somewhat higher than the industry norm and the reason for that is the fact that we are supporting a number of brands that to a certain extent were latecomers into the ecommerce marketplace so we are supporting a higher level of growth as they go through their kind of additional stages of this process and seeing the benefits of that direct to consumer spend due to this they haven’t placed so our we have been operating at a level above that in the past above the industry norm in the past as we would expect that to continue going forward in this fourth quarter with the following caviars the U.S. mint contract is one it's an obviously very large contract for us and their business as they are relatively stabled over the last couple of years so that more than 15% growth come it would be related to our non U.S. mint same store sales actively.
George Sutton: Okay fair point. One last thing there is a white paper out there titled B2B ecommerce to trillion dollar industry let's say you guys have put out and I'm curious if you can just to address that relative to the next couple of years of opportunity for you?
Michael Willoughby: Sure. So I think the couple of aspects to the B2B growth one is the tremendously increased and sort of GNB that's expected to be driven by ecommerce in the B2B area over the next few years and I think we've referenced in the past this idea that there is a lot of growth expected and commerce platform sales that specific to the B2B segment it's kind of like 2005 all over again for B2B in that there is a lot of B2B business does that or looking to ecommerce technology as a way to innovate within that channel and there is a very low adoption rate for a lot of manufacturers and hope they will distribute that and as yet to really deploy ecommerce technology as the way to service at least the segment of their customers. So the low adoption rate with this rapid increase in interest I think leads to a disproportionate increase in services sale around commerce platforms and this is actually burn out by data that we gotten from forester to expect over the next four years while the increase in spend in the U.S. around ecommerce platform is expected to grow from around 5 billion to around 10 billion in that four year period. The disproportionate increase in spending on B2B, so the wholesale distributors, the brand manufacturers are expected to invest in ecommerce technology at a higher rate than B2C. Part of that reflects the maturity of the markets on the B2C side and the relative low adoption rate on the B2B. I think it's also reflective of the higher level of complexity around a B2B commerce solution that requires more customization of the platform itself. All those trends are very positive for us. I think we are in a position to bring a very effective B2B full service solution to market and are working to that aggressively right now. Crossview has a very good front end solution on both the WebSphere and [hibers] platforms Oracle commerce also has very effective B2B features so we've got three of our five platforms equipped very nicely for B2B and you put that alongside with the robust legacy B2B features that we have [that keep us] well around agency, order management, credit and collections activity, fulfillment and customer care specific to B2B and I think we have a very compelling offering in the marketplace and should be able to go and really have our share of take rate in that services spending increase.
Operator: Will take our next question from Mark Argento with Lake Street Capital Markets.
Mark Argento: Hi good afternoon guys. Hey congrats on a really a solid quarter across the board so just want to watch you guys continue to execute as the offer there. When you are talking about and if we step back I know obviously you guys get a lot of stuff going on some of the new acquisitions and I want to can just take a step back and looked at the business obviously you just talked about gross margins going from 25% to 30% now to something higher than that 27% to 32% which obviously is the positive but we are still looking at EBITDA margins that 10% or 11% which was understand were giving you spending back into the business. But when we step back a little bit look out couple three to four years as this business start to scale and you completed out a little bit I guess it's certainly incremental spend backed in is this the 15% EBITDA margin business maybe you talk a little bit about how you see this business over the next three or five years in terms of the target operating at models you have fast around that would be very helpful?
Thomas Madden : Okay. So we do continue to expect that we will be able to levered the business as we grow even while making some of the incremental expenditures to help fill that growth. Our expectations as I look out over the next let say three to four years would be for us to continue to see a gradual increase in that adjusted EBITDA percentage probably to a level of 12% to 13% I wouldn’t be comfortable at this point going much above that I think that as we continue to grow the business while we continue to focus in our the technology and agency services our expectation is that our operations activity will continue to grow as well and both the gross margins and the net contribution margins from that business are somewhat lower than the agency side. So we’ll have to balance all of it together. But I do expect that we should be leverage some of the SG&A infrastructure and drive an improved adjusted EBITDA performance over time. Some of it will have a little bit of lumpiness over the period as we have new projects to work and/or new incremental infrastructure investments that need to be made but our focus is to continue to improve that adjusted EBITDA performance.
Michael Willoughby: Mark it will interesting this same time next year or even the year after experiencing growth in our consultancy particularly which we expect to have a higher gross margin profile and maybe any of the services we’re giving today, it’s early so we don’t know specifically. But as that grows and as we see the rate at which it grows that could have a nice lift. Also the new M&A roadmap that we would put in place may have some different gross margin characteristics and a different scale associated with services that might be provided so that certainly is a bit of factor as well. I think another 12 months or so we give additional clarity and be able to maybe pinpoint that just a little bit better. But at this point, recognizing the critical nature of the operations part of our offering and how important the combination of the operations plus the professional services is in delivering long term contracts at the same time that we have a good blended gross margin profile we continue to want to focus on growing that operation portion of the business, even though it does have somewhat moderating effect on gross margin just the virtual contribution is by itself and creating those long term contracts I think is worth whatever moderation effect we might have there.
Unidentified Analyst: And then when you’re stepping back as well and look at the now you have a lot more revenues coming from the agency digital agency, professional services, system integration side of the house, how do you think long term about that part of the business obviously that’s going to continue to grow relative to say the traditional GMP driven more of the pick-package-ship fulfillment side of the house. How do you see that as overall mix of revenues, do you have any thoughts around that, and again looking out a couple of three years.
Michael Willoughby: So I think we have descent visibility and expectation for next year we expect next year to cross over that 50-50 line and see about half of the services that are generated from the operations area and half that are generated from the professional services and the technology ecosystem contribution. I think we still expect to grow the special services and technology at a faster rate than we grow the operations area, so I would say in the next three years continue to see below 50% of the revenue and profitability contributed from the operations area. But as I said earlier I do expect that to continue to be a meaningful component of the revenue and the bottom line as we go forward. So whether it’s 60%-40% or something in that neighborhood at the end of three or four years it's probably more of that than it would be something lower based on what we see today.
Unidentified Analyst: And then I assume at some point here [as rolling the] ’16 might start breaking out the professional services from the operations piece. I think that would help investors obviously get a little bit better view into the ongoing, the components of the business and also the margin profile of the business. So, I know obviously the Crossview is still fairly new but maybe in the ’16 [indiscernible] you guys have considered yet, [indiscernible] here for that.
Thomas Madden : We’ll continue to evaluate how to present that in the best manner. I think providing some of the overall guidance like Mike just did in regards to looking at that agency, technology services, and technology ecosystem as a group makes sense as well as looking at the operations side because they do have different characteristics to them. So, it’s a good point. We’ll continue to evaluate how to best provide that insight going forward.
Operator: We’ll take our next question from Josh Goldberg with G2 Investment Partners.
Josh Goldberg: Just a couple of quick questions, just 5.4 million of EBITDA going back to 2011 I think you did almost [that now for] the entire year, you did in the third quarter and I think when you went through your transformation starting at ’13 you had 10 million or maybe 11 million, you did almost half of that this quarter, I think it’s pretty remarkable especially with the gross margins at 33.7. Obviously the mix went your way this quarter, but it doesn’t seem like there is anything one time in nature that helped you in the quarter or is just the projects for more higher margin project rather than anything one-time in nature, can you make sure that's correct?
Thomas Madden : There is always -- I always point out that there is an incremental amount of kind of project activity that has occurred this quarter that it has been stronger, we’ve felt good about the opportunity that were presented to us and high utilization rate of our team during this period. While we are hopeful for it to continue at that kind of pace, we probably operated a little bit heavier from a utilization rate than what we normally would or what we would expect to do. But we not necessarily a significant amount of one-off activity this quarter, we did have a lot of [indiscernible] the right way in terms of the project performance and the profitability on those activity.
Michael Willoughby: Especially Josh, this whole selling season concept really factors in as well and with the higher percentage of particularly B2C projects that we’re engaged with and this is one of the reasons that I think it's important for us to present this bookings figure is that we would expect Q4 and Q1 to be lower level than say Q2, Q3 as Tom has stated in his prepared comments. So over the next year or two as we continue to kind of grow this model and experience this phenomena that will help us to really recognize the pattern and hopefully be a little bit more predictive and sort of looking at these revenue streams. That said the B2B initiative continue to change that as well and actually hopefully would help to move out some of those peaks and valleys that we see in the business today.
Josh Goldberg: And just so I am clear, when you say lower you just mean the margins will be the lower and not the absolute EBITDA dollars in the fourth quarter?
Thomas Madden: Well I was really talking about the revenue activity from the project, the corresponding effect on EBITDA contributions, but really it's more of a top-line view.
Josh Goldberg: And when you after your second quarter call and after the Crossview deal, you talked about how your the core business was going to be down [indiscernible] second quarter EBITDA and then was supplemented by the growth that you would see on revenue in EBITDA from Crossview. Did that turn out to be that case, in other words Crossview contributed a majority of the growth from the second quarter to the third number of revenues EBITDA?
Michael Willoughby: Well, I’ll let Tom comment on the composition, but I would say that with regards to the integration, things have gone faster and better than we might have expected. Some of the synergies that I spoke to with coordination of the sales cycle and the ability to take the agency services into the sales cycle with those current clients, there was actually some impact that we wouldn’t have necessarily even looked at -- look for revenue synergies coming to too much after the deal. That being said, I don’t know if that’s really disproportionate that contributor, as Tom said, lots of stars aligned for project, the conversion rate was higher in the sales funnel for the project that we are working on and it just ends up being a really good quarter.
Thomas Madden: I would say that as we look at the strong performance in Q3 that while Crossview did participate strongly in the top-line and bottom-line contribution standpoint it was relatively inline or slightly ahead of what our expectations were, the bulk of the average I would say came from the historical PFS business including as we talked about project work and favorable things have happened there during the quarter. So it was really a combination -- we did a great job and performed strongly and the historical PFS business also and strong [indiscernible].
Josh Goldberg: That’s really great, I mean obviously some of your competitors [indiscernible] -- I am not telling you that you should expect to have the same conversion rate or hit rate on your fee activity and their project activity, but it does sound like you did a great job in this quarter and I know you do not want us to believe that that will continue with that some sort of competitors dynamic, But you might actually hit a new level now of just win rates that could be pretty exciting for you guys over the next couple of years.
Michael Willoughby: We share that view, we’re certainly excited about the capabilities that we have and I think that there is a subjective effect on win rate in conversion when you have world class capabilities across this broad spectrum. So it's difficult to put a stat against it, but I have to think that some of the wins that we got last quarter, we got in part because of bringing this whole spectrum of services to bear or just having the credibility with a client prospect of them knowing that we have these world class capabilities and all the platforms to support and that regardless of their need we’re in a position to support those needs with robust capabilities. So it strengthens our position and as you said, we certainly are in a very competitive industry and we wouldn’t expect [indiscernible] to stand still, but our objective is to stay upfront and continue to innovate.
Josh Goldberg: One last one from me, if that’s okay, I mean obviously the initial 2016 guidance as strong is the messaging of that just to say know big customers are now renewing these were pretty comfortable just on while we're seeing from more acquisitions in terms of projects and clearly the $74 million of bookings will probably translate into some revenue for next year and this is sort of I care initial step or both place holder for 2016 and then as things develop you may have the revise higher or lower as the year progresses but the message is we're seeing a good strong activity with no role cancellations or no renewal problems that something competitor space.
Michael Willoughby: Alright, thanks Josh. Yes I would say and following up on your comments that's the way you characterize the guidance of the stage is pretty good still two year two months less before we get into the new year we have the holiday before us as you indicated we have an expectation for a certain level of turn in the business and we've sort of factored that expectation in we would likely start to know at this stage if we had a big plan to recent transition so that comfort levels gets better and better and you get closer and closer to the new year. But it is certainly something where as we go get into the New Year on this new date we've been in a position to discuss that guidance even more.
Operator: [Operator Instructions] Will go next to Kevin Kopelman with Cowen and Company.
Kevin Kopelman: Hi. Thanks guys just a couple of follow ups on the previous questions first and I don’t know if we can get more color on this, but on the 2016 guidance again you mentioned that you've got incremental marketing spend baked in there can you talked about what kind of ROI you are assuming there kind of near term or you really just putting the cost in for now? And then I just have one follow up.
Michael Willoughby: Sure so I think that there is a specific go get target that we've identified for 2016 that we feel wise to be incremental sales and marketing expenditures needs to be there so to deliver that with that being said I think organizational structure the investment that we are making are really much more oriented to driving sustain growth even beyond 2016 so is there probably it's where in this business particularly on the recurring revenue side that there is quite a bit of lead time in generating from going lead philosophy early stage pipeline step disclose and to implement it in delivering revenue so any investment that were making particularly on the operation side probably carries with it some sort of lead time but there is certainly as a balance between investment that were making and we want to deliver in a current year as compared to sort of the overall future growth that we want to deliver.
Kevin Kopelman: Got it. Than just one more kind of macro high level how you guys feeling about consumer demand headed into the Q4 holiday season or is it just two early in the quarter to tell?
Michael Willoughby: Well. So what we can do is here is the current buy it forecast and preparations as a bid of the parameter Tom mentioned that we expect our clients to perform at a higher level than the year-over-year holiday performance that forecasted by I think Forester which I think currently is 11% to 12% year-over-year growth in online sales. That has to do with the particularly type of clients that we are servicing at this point having a probably earlier in the maturity curve and having more opportunity just to experience the growth relative to where they've been historically as well as being in some segments that are maybe a little bit less prone to variability in the holiday with kind of premium and luxury brands segment being represented. So that's maybe a bit of a barometer, we also can look at the inventory positions that clients are taking and look at their promotional schedule to get that inventory and I guess the bottom line is our clients seem to be quite optimistic and bullish about this holiday now three weeks before it starts to kick into gear and our experience is that if they've got a certain inventory position they are likely going to put a promotional schedule around that one way or another moved that inventory out. So we are setting our work plans in place and our staffing plans to accommodate that optimistic view. Obviously being ready to adjust as necessary but we expect it to be a strong and successful holiday three weeks out of the rodeo beginning seriously.
Operator: This does conclude our question-and-answer session. At this time I'll turn the conference back to Mr. Willoughby for any final remarks.
Michael Willoughby: All right, thank you, Don. And I’d like to thank everyone that attended the call today. I hope it's evident from our comments and our tone, that we’re very incredibly excited with the developments in our business. We look forward to speaking with our investors and analysts and not only as we report fourth quarter results and yearend results next year but also as we have opportunity to speak to you face to face at conferences and as we maybe on the road for non-road show activities over the next two to three months. So, thank you very much and have a great day and look forward to seeing you next time.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may now disconnect your lines at this time and thank you for your participation.